Operator: Good day, ladies and gentlemen, and welcome to PDC Energy Third Quarter 2021 Earnings Conference Call. At this time all participants are in a listen-only mode. [Operator Instructions] As a reminder, this call is being recorded. I would now like to turn the conference over to your host, Kyle Sourk, Investor Relations. You may begin, sir.
Kyle Sourk: Thank you and good morning. On today’s call, we have President and CEO, Bart Brookman; Executive Vice President, Lance Lauck; Chief Financial Officer, Scott Meyers; and Senior Vice President of Operations, Dave Lillo. Yesterday afternoon, we issued our press release and posted a presentation that accompanies our remarks today. We also filed our Form 10-Q. The press release and presentation are available on the Investor Relations page of our website www.pdce.com. On today’s call, we will reference both forward-looking statements and non-U.S. GAAP financial measures. The appropriate disclosures and reconciliations can be found on Slide 2 and the appendix of that presentation. With that, I’ll turn the call over to our CEO, Bart Brookman.
Bart Brookman: Thank you. Kyle, and hello everyone. As I look back, in the past 12 months to 18 months, I could not be more proud of the PDC team, our decision making, resilience, focus priorities and strategic shifts. As we accelerate out of last year’s deep compression of energy prices, the company is extremely well positioned for success. Today, I hope to reinforce our corporate commitment to safety, the environment, financial and operational excellence and delivering value to our shareholders. Let me address some third quarter highlights. Free cash flow for the quarter of $268 million on a capital investment of $149 million. Timing of capital projects year-to-date for both basins are in line with expectations, including drilling, completions and turn in lines. Production for the quarter, 18.8 million barrels of oil equivalent. And while we were disappointed in our recent Grizzly pad production performance in Delaware, our teams have quickly pivoted with strong technical focus on production optimization and we have some very encouraging early results. Current production for the company has rebounded, is now in line with expectations, and Dave will touch on this more in a moment. Operating costs remain in check with lifting costs under $2.50 per BOE and G&A all-in at $1.64. We also made tremendous progress on our balance sheet as our quarter-end leverage ratio stands at 0.8. Debt levels for the company continue to decline at a rapid pace, while PDC’s total liquidity currently stands at $1.7 billion. Now on the ESG front. First, I encourage all of you to view our recently published sustainability report, which is available on our website. In 2021, we made great strides as we defined aggressive greenhouse gas and methane emission reduction targets for the company. Established a zero routine flaring goal by 2025, continued was quality refreshment of the Board with a focus on diversity and formalized ESG governance at the Board level. In 2022, you can expect a strong emphasis on the continued safety of the PDC employees, ongoing emission reductions, community and charitable giving, diversity at all levels of the organization and sound corporate governance. So as we close out the year, as I noted, production is rebounding, back in line with our expectations. We anticipate a leverage ratio of 0.5 as we approach year end and our net debt should drop below $1 billion. The company’s free cash flow for the year is expected to exceed $900 million. And today, I am pleased to announce we are expanding our shareholder return target for 2021 from $180 million to at least $210 million. These returns will be – will primarily be fixed dividend and share repurchases. However, recent discussions with our Board of Directors have led us to consider a special dividend if necessary to achieve this $210 million goal. So in closing, let me give a little flavor on 2022, expect modest single-digit annual production growth, while the company maintains capital discipline in both basins. As we enter next year, debt reduction will become a lower priority, while we increase our emphasis on shareholder returns. At the current strip, we believe free cash flow for PDC can exceed $1 billion next year, and I assure you, the company will continue to place the utmost importance on safety and ESG initiatives. With that I’m going to turn this call over to Dave Lillo for an operational update.
Dave Lillo: Thanks, Bart. Before going through the third quarter results, I want to take the opportunity to give thanks to our incredible teams for their tireless work throughout the year. The focus on safety, reliability and execution continues to drive strong financial results that Bart opened with on the call. In terms of the third quarter, our capital costs and costs were right in line with expectations, with capital investments of just under $150 million, LOE under $2.50 per BOE and peer leading all-in G&A expense of $1.64 per BOE. For production, we average 204,000 BOE per day and approximately 66,500 barrels of oil per day. As we mentioned in our press release, last night, each of these came in higher than our updated quarterly ranges, which we provided in September due to a net revenue interest clarification received in early October, relating to 26 Wattenberg wells, which we turned in line in late June. In Wattenberg, we continue to run one drilling rig and one completion crew, which led to 20 spuds and 57 turn in lines for the quarter. As a reminder, we had more SRL and MRL wells turned in line than our typical quarter due to some shifts we made in our completion program early in this year. Look for the future turn in lines per quarter to be more in the range of 30 to 40 with an emphasis on two mile laterals. I’ll provide a bit more information around the Delaware spacing on the next slide. But for the quarter, we had five spuds and zero turn in lines as we laid down our frac crew for the remainder of the year late in the second quarter. You can see, we invested $35 million in the basin in the third quarter with nearly $15 million attributed to large non-op projects we referenced in our last call. As for the fourth quarter, we expect the capital to be very similar to the third quarter, less the Delaware non-op activity with relatively flat production and modest increase to oil companywide. Finally, in terms of 2022, we are currently in our bid process with our service providers and begin our internal budget process. As you recall, we messaged and anticipated cost inflation for next year of approximately 5% to 10% back in our August call. At this time, we are keeping a close eye on things, but I want to reiterate our view to expect some cost creep, giving pricing at $80 oil and $5 gas. Moving to Slide 8, I want to spend a few minutes on our relaxed spacing program in Delaware. As we mentioned in late September, our 2021 turned-in-line program was bit underwhelming for a production standpoint, primarily as a result of sub-optimal spacing that averaged 14 wells to 16 wells per section equivalent. These wells were drilled in 2019 and early 2020, but not completed until mid-2021 as our completion program was halted at the onset of COVID. When we resumed activity this year, industry, peer and non-op data suggested a more relaxed spacing design was needed. An example of this, you can see at the bottom right hand side of the slide. As you can clearly see, when comparing the two diagrams, which are on a half-section equivalent basis, relaxed spacing has incredible distance between new wells – I’m sorry, increased distance between two wells and also between new wells and parent wells, especially in the Wolfcamp B. While this obviously leads to reduced wells per target zone and per section, we do expect increased productivity and economics on a per well basis. In terms of inventory, we began the year in a five to seven-year range that would anticipate – and we anticipate a slightly reduction, assuming the new spacing. However, at the current prices, the Bone Spring and Wolfcamp C offer a bit of upside to that number. We will articulate all this once we get through our annual year-end inventory analysis. Over the past month, the team has done a tremendous job optimizing field wide production. We performed several clean outs, completed several workover projects and installed ESPs on a handful of wells, all of which are showing very positive early time results. While we don’t expect to make up for the third quarter production shortfall, we project these optimization projects to have our fourth quarter Delaware production back to the levels we expected midyear. Shifting to the Colorado permitting slide on Slide 9. You can see our status of our permitting efforts with the state. As Bart mentioned, we are incredibly proud of the work the various teams have done throughout the year that have contributed to the approval of the Spinney OGDP and submittal of the Kenosha OGDP. We just heard back from the state last week and have a few more items to work through on our Kenosha application, but are hopeful to get through the completeness stage in short order and would expect a hearing in the late first quarter timeframe next year. Finally, our cap is still on track to be submitted in the year-end timeframe. Our team has frequently communicated with the COGCC, Weld County officials and local communities regarding this extensive project and we feel real good about where we stand. On our current DUC and approval permit count is projected to carry us into the 2024 timeframe, which has proven to be an incredible asset as operators and COGCC work through the new process. With that I will turn it over to Scott Meyers.
Scott Meyers: Thanks, Dave. As Bart mentioned, we continue to march towards our goal of reaching $1 billion in long-term debt by year-end. In fact, we now project to surpass that target. As you can see on Slide 11, we reduced total debt by $400 million since our last earnings call, $200 million of which was the retirement of our convertible notes and $200 million through the partial redemption of our 2024 senior notes. Earlier this week, we also called the remaining $100 million of our 2025 notes. These notes had a somewhat limiting restrictive payment basket and given our free cash flow outlook and plans to return significant amounts of capital to shareholders over the next few years, we felt it best to go ahead and call them now. All in, we expect to retire just over $650 million of debt in 2021, resulting in a year-end debt balance of approximately $950 million in a year-end leverage ratio of approximately 0.5 times. Having met and exceeded our debt goal of reaching $1 billion, we are now extremely well positioned to increase the pace of our shareholder return programs, which I’ll cover more in a moment. Earlier this week, our team amended and extended our credit facility, which you can now see matures in 2026 as opposed to 2023. At month end, we are currently undrawn on a borrowing base of $2.4 billion, an elected commitment amount of $1.5 billion. I am incredibly proud that PDC and its syndicate have also included the ability to add sustainably linked ESG KPIs in the agreement that once agreed upon may impact various fees in our future. We’re putting our money where mouth is when it comes to ESG and are committed to achieving the long-term goals Bart highlighted at the opening of the call. Shifting to hedging, we thought that given the recent run in all three commodity prices, we’ll update the market on our high level hedging philosophy at PDC. We view the hedge portfolio as a way to protect our future cash flows from the inevitable volatility of the industry. Generally speaking, with the improvements made to our balance sheet over the past few years, we are likely to hedge no more than 50% of our current production through a combination of swaps and costless callers. First, we run a depressed pricing scenario for multiple years ensuring that we protect our base dividend and interest payments, while maintaining a sub two times leverage ratio. Our goal is to accomplish this through our base layer program consisting of swaps. Next, the hedge committee meets on a quarterly basis and targets systematic and opportunistic layers of costless callers to ensure we meet our shareholder return objectives, while leaving upside to what we view mid cycle commodity prices. Overall, our goal is to mitigate the impact of commodity price volatility, while ensuring we maintain a best-in-class balance sheet and a robust and sustainable return of capital program. For a company of our size, we feel the hedging plays a key part in achieving these goals. Moving to Slide 12. We offer an update of our year-to-date progress towards our debt reduction and shareholder return goals. Like many of our peers, increased commodity prices have greatly accelerated the pace with which we were able to pay down debt. Beginning in 2021, with a goal of reaching $1 billion of total debt by year-end 2023, we are now projected to be at $950 million by the end of 2021. Importantly, once again, we’ve increased our commitment to shareholder returns, which now stands at more than $210 million, up from $180 million. As we’ve messaged through the year and as Bart mentioned in his opening, we have now reached an inflection point with our shareholder return program. Year-to-date we returned approximately $130 million to shareholders through our base dividend and share repurchase program. With our debt objectives now met for 2021 and our shares trading at what we feel in an extremely attractive valuation, we expect the pace of our buyback program to significantly accelerate heading into next year. With that said, our goal is not to buy back shares. Our goal is to drive our share price higher and return capital to shareholders. Due to the number of trading days remaining in the year and the existing structure of our share buyback program, we hope to continue the strong prices and – hope to continue the strong price performance, PDC and the Board will give consideration to paying a special dividend if needed to accomplish this 2021 goal. Looking forward, you're going to see extremely impressive multi-year free cash flow outlook at variety of different price decks on Slide 13. We run our business with a long-term mid-cycle view of commodity prices. Currently, our three-year debt reduction and shareholder return objectives are each at $1 billion. As you see, we can achieve this with prices that are significantly below current strip. There are a couple of important things to note as you work your way from left to right on the slide. First, the sheer magnitude of the cumulative free cash flow in each scenario. We project to generate after-tax free tax or free cash flow equating to nearly half of our current enterprise value at prices below the current strip, which is truly remarkable. Second, our three-year debt reduction target of $1 billion is unchanged in each scenario. We project to have some minor liability management initiatives over the next two years, but generally speaking debt reduction will not significantly increase the $1 billion target pay down. Finally, shareholder returns in excess of free cash flow, we've just gone over where we stand year-to-date and our goal of more than $210 million in 2021. It's pretty simple math, in order to reach our $1 billion plus goal through 2023, we need to return around $400 million in capital to shareholders in each 2022 and 2023. With pricing where it is today, our goal is to aggressively exceed these targets while also maintaining flexibility to adapt if needed. PDCs best-in-class assets allow for incredibly compelling free cash flow story and our Board and management teams are committed to industry-leading return of capital program. Look for an update in the February timeframe as we work through our formal budgeting process. Finally, I want to thank the incredible team at PDC. We've accomplished some major milestones in 2021 and are exiting the year on a trajectory to do even more great things in 2022 and beyond. With that, I'll turn the call over to the operator for Q&A.
Operator: [Operator Instructions] Your first question is from Arun Jayaram of JPMorgan. Your line is now open.
Arun Jayaram: Yes, good morning gentlemen. I wanted to ask you a little bit about – you noted how you've reached an inflection point in terms of cash return to investors and how – in the fourth quarter, you're citing $80 million plus of kind of cash return, some of that through the buyback and the special. And so I was wondering, is this a special a one-time type of event just given some of the limitations on the buyback or should we be thinking about this being something – a tool that you could use in 2022 as well when you highlighted a $1 billion plus of free cash flow next year?
Scott Meyers: Yes, I mean, we had some great discussions with our Board and the senior management team as we've gone through over the last several weeks. And again, we really prefer the share buyback program, but we know there's limitations, especially when you have to put the buyback program in place during an open window. So, I look for the special dividend to be a tool in the toolbox that we can use to top off or to make sure we achieve goals that we set out there for years to come. But our main delivery is going to be the base dividend, number one, which we anticipate being able to grow over the next several years and currently with where our shares are priced and our multiples. We think the share buyback will be the main delivery tool for returning capital to shareholders. But we'll always have this other special dividend tool as well that we can use if needed if we're having troubles getting their to our share buyback, which would most likely be caused by share price performance in a positive way.
Bart Brookman: Arun, did we answer the question?
Arun Jayaram: You did, sorry, my follow up – sorry about that, I was on mute for a second, I wanted to ask you on Slide 13 Bart, you've kind of given us some thoughts, I know you've previously mentioned some of your thoughts on 2022, but I want to ask you about the level loading of next year's program. I know you obviously have a pretty sizable DUC and wells in progress, kind of backlog, but you are bringing in a second rig into the Wattenberg in the spring. So, I just wanted to – a s we think about those 150 wells, how level loaded would that be and is there any thoughts from the – in the Delaware, how you plan to pace your activity next year?
Bart Brookman: Dave, you want to touch on this.
Dave Lillo: Yes, I can. As far as pace in Delaware next year, we're going to be really consistent in what we did here. We continue to learn for the asset, our Block 4 in Central acreage and we'll continue to move forward at the same pace. We've learned a lot through our last year's program and hopefully we could use that and continue to move forward.
Scott Meyers: And then one other thing I'll just add is with the DUCs remember for our operational teams and the flexibility they need, I would not expect our Wattenberg Field to go much below 125 DUCs. We really need that flexibility because when you're looking at having 20 to 24 wells on a pad and you want to have one or two pads away, it really becomes that even though it sounds like a large number for as quick as the team can complete those wells, they really need that operational flexibility with some of the challenges in the field. So, yes, I think the DUC number will come down a little bit more, but I wouldn't look forward going much south of 125.
Bart Brookman: Yes. The reason we run a higher DUC count is because we try to optimize where we frac, how we frac, so that we don't have frac into. We're – we have it scheduled out very methodically with wildlife and water distribution and crops and the wellbore integrity program. So, that's why we run a little higher DUC count than maybe other basins too at this time.
Arun Jayaram: Great, thanks a lot. Nice results.
Bart Brookman: Thanks, Arun.
Operator: Your next question is from Gabe Daoud of Cowen. Your line is now open.
Bart Brookman: Hi, Gabe. Are you there, Gabe? Operator, we may have lost him.
Operator: Okay. For the next question, we have Michael Scialla of Stifel. Your line is now open.
Unidentified Analyst: Hey, good morning guys. This is [indiscernible] for Mike.
Bart Brookman: Hi Jared.
Unidentified Analyst: Hi, there. Just a couple of questions. Now that the Spinney development has been approved, I was kind of curious where that falls in line with your current drill schedule. If it's a the priority to get those wells drilled or if it kind of just moves to the end of the inventory?
Dave Lillo: So right now we have plus or minus 160 DUCs and 125 permits in hand and we've pretty much scheduled out our drill schedule for the next couple of years. The Spinney will be added after that. It's a pretty good location, consisting of eight wells, three-mile laterals. So, it will be added at the end of our drill program since we have methodically really thought through that. And we plan on moving forward with what we already have planned.
Scott Meyers: Dave, is it fair to say that's true with the Kenosha and the CAP our program is planned for the next two years then the Spinney and then the Kenosha and then we would move to the CAP as everybody is thinking about where we're going to be drilling in the field?
Dave Lillo: Yes, I think as you get out multiple years, the CAP is good for seven or eight years. I think we will start sprinkling in those projects, as we methodically look at our drilling program and make sure it makes sense to drill throughout our field and throughout our acreage position to make sure that we have the infrastructure in place that our drilling rigs are moving around methodically. We're looking at the costs on all that. So, yes, I think methodically after a couple of years, we will start sprinkling in both the Kenosha and the CAP as into our drill program.
Unidentified Analyst: All right, perfect, thanks. And then one follow-up. Have you guys tried any simul-fracs in the Wattenberg? And if not just the end application for it? Thanks.
Dave Lillo: You know the way we go about our completion process is we've built efficiencies around fracing five to six wells at a time and with that we can do the wireline work on a well and we can do the frac work on the other well and then keep alternating throughout the five to six well pads. And that's where we've gained the most efficiency. Our team has done a tremendous job. We're at 18 to 20 stages per day right now, what we're averaging and clicking right along. So I don't think simul-fracs are really something we're considering at this time.
Unidentified Analyst: Perfect, thanks. That's all from me. Good quarter, guys.
Bart Brookman:
Jared:
Dave Lillo: Thank you.
Operator: Your next question is from Oliver Huang of Tudor Pickering Holt. Your line is open.
Oliver Huang: Good morning everyone and thanks for taking my questions. Just one on the returns front, just kind of given strong line of sight to reaching your absolute debt reduction targets and likely it being difficult to buy assets accretive to your free cash flow, given how robust it looks at strip in the mid to high 20s percentage on our model. Just wondering what is keeping you all from announcing a more aggressive buyback given how cheap your stock is with free cash flow exceeding the $1 billion or so next year that Bart highlighted in the opening remarks? Or is it just kind of a way to keep your options of flexibility open?
Scott Meyers: Yes, I mean we take all of these things are very seriously and do a lot of modeling and basically our number one goal is to reach our debt reduction target of $1 billion, which we're reaching that literally probably this month. And at that point, we have a new grid going into place, which is going to start picking up the pace of our share buyback program. We will announce more of our goals for 2022 and 2023 in February with the rollout of our budget. We want to make sure that we go through and have good robust discussions with the Board. So again we're very comfortable with that $1 billion plus target for 2021 through 2023 and I would expect you would think that we can increase that. But before we put any new numbers out there, we got to finish our process internally and make sure everybody is comfortable with it, but look for the free cash flow to be going again much, much more to shareholder returns in 2022 and 2023, first, our debt pay down. We are only going to have about $300 to $400 million over the two years to pay down in debt because we don't want our debt balance really going above $600 million.
Oliver Huang: Okay. Thank you. That's helpful color. And just a second question you all talk about the third Bone Spring and Wolfcamp C offering inventory outside of current prices. Just given the historical focus on the upper Wolfcamp in the Delaware, should we expect to see more activity targeting these zones kind of going forward in the 2022 program or is that something that's more longer dated? And if you're able to maybe talk about internal corporate expectations for these two formations?
Dave Lillo: I think that's a result of current commodity pricing right now. Our teams are going back and looking at with consideration of the Bone Springs, which we've tested in several different areas and has turned out very well. We also look for the Bone Spring Cs, which we're currently evaluating really in our central area, a lot gassier than our other formations right now, but we'll continue to do that. We've – we continue to change around our drill schedule a little bit in our Delaware asset based off the economics and development plans. And I think that's what we're going to be doing going forward.
Oliver Huang: Okay, thanks for the time.
Operator: Your next question is from Umang Choudhary of Goldman Sachs. Your line is open.
Umang Choudhary: Hi, good morning and thank you for taking my questions.
Bart Brookman: No problem.
Umang Choudhary: With up spacing in the Delaware, I wanted to get your updated thoughts around the number of wells which we need to complete every year in your plans? And also if you can provide us an updated thoughts around inventory life in that region?
Dave Lillo: So right now we run one full-time drilling rig and that's what we're projecting out for several years. We can drill about 18 to 20 wells, is what we're currently averaging. We continue to build efficiencies every day, both in our Central and our Block 4. We're going to be concentrating more next year in our Block 4 acreage, which is a little oilier than our central acreage. What was the second part of the question. And for inventory...
Umang Choudhary: Inventory.
Dave Lillo: Yes for the inventory, our teams are going through their year-end process and we'll be looking it then. I would say, we'd give you some more guidance in February. I would say it's highly likely it's going to come down a little bit from where we were with the relaxed spacing, but as we've mentioned, we also have to consider what's going to – what's our program going to look like with the Wolfcamp Cs in the Bone Springs. So we just need a little bit more time on that, but we'll give you more information in our February rollout.
Umang Choudhary: Got it. That's helpful. And then on the same vein, maybe your updated thoughts around M&A and bolt-ons the DUCs spacing in Delaware, how is that tough versus evolving year?
Scott Meyers: So, specifically on the Delaware area, we continue to take a very methodical approach to adds in the Delaware Basin. I would think of a more as a blocking and tackling approach. These are the types of things where we seek to see if we can do trades with other parties for longer laterals. We test additional zones, like the Wolfcamp C in the Central area and the Bone Spring, as well have value there. And if there's a few sections that are close by offsetting us, those are the types of things we'll look at to see if we can make a – perhaps a proactive acquisition, add some inventory for the company. So, in general, that's roughly sort of our approach on that. I think when you think bigger picture though, we'll look at M&A, keep in mind, we have a very disciplined approach to M&A and it's a very high bar. We talked about that a lot as an SMT and as a Board as well. Just around the fact that when you look at some of the like in SRC, they've really met that criteria. It's got to have the strong financial accretion and it also brings with a lots of synergies and overlap value creation that type of an approach and all the time just maintain a very strong balance sheet. So we've got a very disciplined, I'd call it very defined and methodical plan relating to that. We continue to watch. We continue to be thoughtful, but we – our bar is high, when we look at on those fronts.
Umang Choudhary: Got it. That makes sense. Thank you.
Operator: No questions at this time. And I would like to turn the call over to Bart Brookman for closing remarks.
Bart Brookman: Yes. Thank you and thanks everybody. We had a small crowd today. I think we had a lot of other calls we were competing with, but thanks for the support and we look forward to February when we can roll out next year's budget and what we think is a pretty terrific outlook.
Operator: And this concludes today’s conference call. Thank you for participating. You may now disconnect.